Operator: Good afternoon. Welcome to Clearfield's Fiscal First Quarter 2021 Earnings Conference Call. My name is Sam [ph] and I will be your operator this afternoon. Joining us for today's presentation are the company's President and CEO, Cheri Beranek; and CFO, Dan Herzog. Following their commentary, we will open the call for questions. I would now like to remind everyone that this call will be recorded and made available for replay via a link in the Investor Relations section of the company's website. This call is also being webcasted and accompanied by a PowerPoint presentation called the FieldReport, which is also available in the Investor Relations section of the company's website. Please note, that during the course of this call, management will be making forward-looking statements regarding future events and the future financial performance of the company. These forward-looking statements are subject to risks and uncertainties that could cause actual results to differ materially from those in the forward-looking statements. It is important to note also that the company undertakes no obligation to update such statements, except as required by law. The company cautions you to consider risk factors that could cause actual results to differ materially from those in the forward-looking statements contained in today's press release, FieldReport and in this conference call. The Risk Factors section in Clearfield's most recent Form 10-K filing with the Securities and Exchange Commission and its subsequent filings on Form 10-Q provides description of those risks. As a reminder, the slides in this presentation are not controlled by you, the listener. Please advance forward through the presentation as the speakers present their remarks. With that, I would like to turn the call over to Clearfield's CEO, Cheri Beranek. Please proceed.
Cheri Beranek: Good afternoon and thank you everyone, for joining us today. I hope you are all continuing to stay safe and healthy. It's a pleasure to speak with you this afternoon to share Clearfield's result for the fiscal first quarter of 2021. The first quarter of fiscal 2021 was an exceptionally strong start to our new fiscal year. As you can see on Slide 4, the $27.1 million we generated in revenue was a 40% increase over last year and marked the highest revenue level for any fiscal first quarter in Clearfield history. Our growth in the period with again led by double-digit increases from our community broadband and multiple system operator, also known as MSO or cable TV markets, which were up 71% and 30% respectfully. Our extended and ongoing strong top line performance over the last several quarters as enabled us to exceed the $100 million revenue level on a trailing 12 month basis for the first time. The surging demand and need for high speed Internet access accelerated by COVID-19 is prevalent across the country, especially in the community broadband market in which Clearfield commands strong market leadership. Our track record and reputation in the community broadband market has positioned us extremely well to take share. And further capitalize on the expansion that is currently underway. As our base of independent telephone providers is joined by utilities and municipalities and delivering high-speed broadband to consumers and businesses.  Clearfield is helping these emerging providers meet the growing demand by providing our traditional products as well as helping them deploy innovative solutions like our home deployment kits, which extend our field-proven fiber management expertise and leading-edge fiber connectivity performance all the way into the home. As evidence of the success of this initiative. During this past quarter we secured a near-million dollar order for home deployment kits by an electric co-op within our community broadband market. We recognized a portion of this when as revenue in Q1 and the balance is reflected in our $8.9 million backlog at quarter end. The robust industry trends, we have experienced since last year have continued now into fiscal 2021, supported by sustained demand for broadband coupled with government programs such as the Coronavirus Aid Relief and Economic Security Act, also known as the Cares Act that are helping to fund to accelerate these deployments.  While the expansion currently underway is due in part to some pull forward bills that work from home consumers are demanding, it nonetheless may accelerate due to the launch of the World Digital Opportunity Fund or RDOF program. RDOF will finance up to $20.4 billion of gigabit speed broadband over the next 10 years to homes and businesses that were previously not be economically viable. It is worth mentioning that the $19.8 million of revenue we generated in our community broadband market for Q1 includes dollars associated with the Cares Act which does not reflect any contribution from the recent awards related to RDOF. In terms of our MSO market much of our work in this area is an extension of what we are doing in community broadband. Tier-2 MSO carriers are the regional players are expanding their deployments of fiber community by community. We are working to penetrate the national MSO market and are proud of our recent approval of our new 288 pre-assigned FDH pawn cabinet by one such carrier. Our top line performance in fiscal Q1 also helped to drive solid gross profit dollars, which totaled $11.4 million in this most recent period. As a percentage of revenue our 42% margin was up from the 41.2% we reported in the prior quarter and marked the highest gross profit margin, we have achieved as a company in more than two years. As it relates to our gross margin profitability in Q1, we had a favorable revenue mix in the quarter associated with the increased revenue and community broadband markets. In addition, meaningful efficiency gains were realized from our operations in Mexico. Moving down the income statement, expenses increased slightly from last year's first quarter, resulting in $3.2 million in net income or $0.23 per diluted share. This was a significant improvement from the $0.5 million or $0.04 per diluted share in earnings we generated in Q1 of last year. We anticipate expenses to increase slightly in future quarters as we invest in additional resources within our community broadband programs. In addition to our encouraging financial performance, we also made meaningful strides advancing our product portfolio. This included achieving Telcordia certification for our Aerial, Strand Mount, FDH as well as receiving approval by the National Carrier of the Aerial FDH for using its networks. Due to the COVID crisis gripping our country end market, the launch of our new technologies into the Tier 1 market faces headwinds associated with product introduction and training. As 5G deployments into the access network increase we foresee increasing revenue among the Tier 1 market moving forward. Looking at our market segments, by revenue on Slide 5, starting first with our core community broadband market. As I mentioned previously, in the first quarter, we generated revenue of $19.8 million, which was up 71% from the same period last year. For the trailing 12 months ended December 31, 2020 community broadband market revenue totaled $67.2 million, which was up 29% from the comparable period last year. Our MSO business comprise 11% of our total revenue in fiscal Q1 from a growth standpoint, we've built on the momentum we established over the last several quarters realizing a 30% year-over-year increase in revenue to $3 million in the first quarter of fiscal 2021 and a 49% increase year-over-year to $13.1 million for the trailing 12 months ended December 31, 2020. Revenue in our National Carrier market was up 8% year-over-year to $13.7 million for the trailing 12 months ended December 31, 2020. As I talked about on past field reports, our position in the National Carrier market is related to the continuing demand for fiber to the home and fiber through the business applications. As COVID constraints have limited the deployment of 5G solutions into the access part of the network. Revenue for the first quarter of fiscal 2021 slipped 12% year-over-year to $2.7 million. Revenue in our international market was down 8% year-over-year in the first quarter and down 34% year-over-year for the trailing 12 months ended December 31, 2020. Weakness continued in the Caribbean and Mexican markets. However, revenue in the Canadian markets saw an exceptionally strong rebound. We are optimistic of seeing increasing revenue in international markets moving forward. Revenue in our legacy markets was down 58% year-over-year in Q1, and down 39% year-over-year for the trailing 12 months ended December 31, 2020. This legacy part of our business is highly dependent upon the industrial drivers of two customers in this segment. We believe the business to be fluctuating from normal levels due to the slowdown in the economy related to COVID. With that I will now turn the presentation over to Dan, who will walk us through our financial performance for the first quarter of fiscal 2021.
Daniel Herzog: Thank you, Cheri and good afternoon everyone, it's great to be speaking with you today. Now looking at our first quarter financial results in more detail. As you can see on Slide 7. Our revenue in the first quarter of fiscal 2021 increased 40% to $27.1 million from $19.4 million in the same year-ago period. The increase in revenues was primarily due to higher sales in our community, broadband and MSO markets partially offset by decreases in our legacy and National Carrier market.  Turning to Slide 8. Gross profit for the first quarter of fiscal 2021 total a record $11.4 million or 42% of total revenue. This was an improvement from $7.7 million or 39.9% of total revenue over the first quarter of last year. The increase in gross profit dollars was due to higher sales volume. As Cheri mentioned the increase in gross margin was due to favorable product mix associated with increased revenues into community broadband and cost reduction efforts across our product lines, including increased production at our Mexico manufacturing plants and efficiencies realized from supply chain programs. As you can see on Slide 9, our operating expenses for the first quarter of fiscal 2021 were $7.7 million are up slightly from $7.3 million in the same year-ago quarter. As a percentage of total revenue operating expenses for the first quarter of fiscal 2021 were 28.3% compared to 37.8% in the same year-ago period. The increase in operating expenses on a dollar basis was primarily due to higher wages and compensation costs related to performance compensation.  Turning to our profitability measures on Slide 10, income from operations was $3.7 million in the first quarter of fiscal 2021 which compares to $401,000 in the same year-ago quarter. Income tax expense increased $684,000 in the first quarter of fiscal 2021, up from $123,000 in the first quarter of 2020. Net income totaled $3.2 million or $0.23 per diluted share, an improvement from $501,000 or $0.04 per diluted share in the same year-ago quarter.  Before I turn it back over to Cheri, I'd like to provide a brief update on the operational measures we've taken to protect and support our business. Our personnel and customers since the COVID-19 pandemic took hold and how we are continuing to effectively navigate the current environment. Both reflected on Slide 11.  I'm encouraged to report that Clearfield remains fully operational despite the unprecedented business closures and slowdown caused by the global health crisis. Our non-production employees are working remotely using collaboration tools and video conferencing to stay connected. Our production operations in both the US and Mexico are operating close to normal while adhering to state and federal government social distancing guidelines. As a precautionary measure we have multiple contingency plans in the event our ability to operate is diminished or eliminated at either location. As we talked about last quarter, we dual source most of our components to cover multiple points of failure and provide purposeful redundancies to remove potential risks.  Thankfully, as of today many of our supply chain partners remain operational and have continued to provide the necessary components for our products. Our supply chain remains intact, thanks to our team's forward planning to ensure sufficient safety stock inventory levels at both our Minnesota and Mexico facilities. As Cheri has indicated previously, we made the decision to maximize the availability of all product lines at all three of our plants, by ensuring that each location can manufacture across our broad product portfolio. This strategic decision has allowed us to meet the growing customer orders and enable us to continue to fulfill our order increased backlog going forward. That concludes my prepared remarks; I will now turn the call back over to Cheri.
Cheri Beranek: Thanks, Dan. Now shifting gears to our operational initiatives and focus in fiscal 2021. Our strategic plan has been a multi-year initiative to prepare Clearfield for the accelerated rate of demand and growth we are now seeing. As you can see on Slide 12 of the field report, we are now ready to Come Of Age [ph], which is the next phase of our growth plan to further strengthen our core business and position our company for disruptive growth opportunities. While the underlying objectives are unchanged. The three pillars up holding our Coming of Age plan has evolves to better align with where Clearfield is today as a company. Our end markets and customer needs and the near and long-term trends were seeing in the industry. Our first pillar, building a better broadband one community at a time. Leverage is Clearfield's long standing customer and partnership relationships to build brand awareness and expertise. Ultimately, our goal here is to facilitate the enablement of pervasive high-speed broadband to underserved and unserved communities. A major initiative for 2021 is extending our reach within community broadband into electrical co-ops, rural utilities and municipalities that are not currently being serviced by a rural telephone company and are still underserved by the major carriers. As part of this effort our strategy includes partnering with established distributors in these target markets. We anticipate securing these relationships in the coming months. Clearfield position within the community broadband market has never been better. Our track record and reputation has positioned us extremely well to continue to grab market share and further capitalize on the expansion that's currently underway. Building on my earlier comments and for the benefit for those newer to our Company or industry. The US Rural Digital Opportunity Fund or RDOF is a 10-year program designed to bridge the digital divide to efficiently fund the deployment of broadband networks in rural America. The Federal Communications Commission will direct up to $20.4 billion over 10 years to finance up you give it speed broadband networks in unserved rural areas connecting millions of American homes and businesses to digital opportunity. On December 7, the FCC announced that millions of rural Americans will gain access to high speed internet service through the RDOF Phase 1 auction. As reflected on Slide 13 of our sales report, auction results show the bidders one funding to deploy high-speed broadband to over $5.2 million unserved homes and businesses, Almost 99% of the locations available in the auction. Moreover an overwhelming majority are scheduled to get gigabit speed broadband. The FCC which is tasked with figuring out how to administer the program is taking public comment through February 16. The financial opportunity for Clearfield is significant through the RDOF program approximately 540,000 homes, will be connected annually. Moreover, it is not a question of if, but rather how and when these homes will be connected. Regardless of the variable inputs Clearfield is well positioned to capitalize on this opportunity. Turning to our second new pillar delivering innovation for true one fiber deployment which is highlighted on Slide 14. The pillar involves three key initiatives. First, leveraging our presence in community broadband to enable one fiber backhaul. Second removing obstacles for the integration of wire line and wireless networks and third, bringing fiber management expertise to 5G and Japan and edge computing. In the area of focus is looking at adjacent product categories to expand our total addressable market. Consistent with our approach of being a fiber to anywhere company, we're looking at investing in product categories or areas that may not be fiber rich today but would allow us to introduce products to the market that would enable the lifestyle ubiquitous broadband provides. Once it innovation in this area is the recent approval of our aerial FTH into the networks of a National Carrier, as 5G deployments intersect with the utilization of fiber to deliver residential and business broadband permitting or right away agreements are ongoing obstacles. The Aerial FTH provides a new and unique means to deploy fiber management assets satisfying these challenging situations. On Slide 15, you can see that the third initiative of our Comes Of Age is scaling operational excellence for a superior customer experience. This approach includes strategically investing in products, manufacturing and supply chain to increase competitiveness and reduce costs. The investments we've made to our operations in Mexico are integral to this effort. The beneficial results we are seeing have yielded both improved efficiency and cost effectiveness; I am encouraged to report that our operations in Mexico remains fully operational and are expanding. In early Q2 of fiscal 2021, our initial Mexican facility achieved it's ISO audit recertification, while our newest facility in this region achieved it's initial ISO certification. We have systematically added personnel at the facilities to meet the growing demand we are seeing for our products, and will continue to evaluate our needs on an ongoing basis. Further, as we scale our business, we are exploring means to expand our footprint in Asia. Our engineering resources, which include boots on the ground in China are allowing us to expand our efforts in Asia from a manufacturing to our specifications, to assisting in our engineering design. Utilizing some of the process gains we've achieved in our virtual world, driven by having -- our U.S. forces working remotely due to COVID; we are now working directly with Asian design personnel who can help us cost reduce from the inception as a design rather than through the two-step process we've implemented previously. Our strong finish to fiscal 2020 provided significant momentum in the first quarter of FY '21, which we were able to capitalize on as demonstrated by the 40% top-line growth we achieved and strong profitability metrics. Our consistent performance speaks to the resiliency and durability of our business in a range of environments. Moreover, we are continuing to benefit and take advantage of favorable industry tailwinds and Clearfield established presence within our key growth markets. Looking ahead due to the ongoing volatility from COVID-19, we are currently in a position to provide only limited financial guidance. We are however confident the demand for fiber-fed broadband will continue throughout fiscal 2021 and beyond. Near-term, we anticipate second quarter to be consistent with the traditional seasonality of revenue being slightly down on a sequential basis. Longer term, our enhanced Comes Of Age plan which targets growth in fiber-fed broadband and 5G access positions us for continued success for Clearfield in the years ahead. And with that, we're ready to open the call for your questions. Operator?
Operator: [Operator Instructions] And our first question is from Jaeson Schmidt with Lake Street Capital. Please proceed with your question.
Jaeson Schmidt: Hey guys, thanks for taking my questions. I understand that at lead times can be pretty sure for you guys but just curious, if you could comment on the linearity of bookings in the December quarter?
Cheri Beranek: Hi, Jaeson. Defined linearity; what do you mean by that?
Jaeson Schmidt: Just trying to get sense of order pattern -- patterns were pretty consistent throughout the quarter or if it was more back-end loaded?
Cheri Beranek: No, very consistent. So, I mean it was really -- I mean we're having a mild winter, certainly always helps, but I think overall in the general market, we are seeing just a continual demand of ongoing as people evaluate and build their environments and then plan for the future. So, no, it was a very nice and consistent quarter.
Jaeson Schmidt: Okay. And then, I know you outlined some of the potential tailwinds going forward, obviously you've benefited from some of the tailwinds related to COVID. Just curious, if you could comment on any change in visibility the over the past three months?
Cheri Beranek: We're actually getting kind of -- I would say, increased visibility to business needs. I think the COIVD world has actually created a situation in which communication service providers are really kind of looking out to things by a season by season basis, and trying to work with their suppliers to give them at least some visibility to their plans and needs, not necessarily blanket purchase orders but definitely a little bit more long-range visibility that we would have had in the past. However, I think that's also coupled with some concerns about the availability of labor and installation. We've heard some concerns, especially in the national carrier market about union individuals not wanting to be able to -- require to be able to go into homes; so it's that kind of push/pull that it's created some challenge for our visibility standpoints. But we are continuing to really manage our lead times, we are really industry-leading today at three to four weeks, and then working with our distribution partners to even improve upon that for high volume product so that it will be available from our distribution -- I guess, the distribution partners in three or four days. So we're aggressive about what we see the marketplace heading, and as long as the market -- laborers continue to be available, we're very optimistic.
Jaeson Schmidt: Okay, that's helpful. And then just last one for me and I'll jump back in the queue. Gross margin, a nice uptick in December; how should we think about sort of the opportunity for expansion this fiscal year?
Cheri Beranek: Yes. So the margin was positively affected by the strong dominance of community broadband; with community broadband being up 70% and representing what 65%, 67% of our total business; that business is -- because it's done smaller projects is typically higher margin, and so we certainly benefited from that. With the carrier business, the Tier 1 business being down a little bit in the quarter, that also from the product mix standpoint with representative. So we think 42% is a great target, we don't think it's a scale to move above; so I think we are comfortable that we're doing a lot of great programing to reduce the class. But from a modeling standpoint, I think this is -- should be kind of the pinnacle of what we can achieve.
Jaeson Schmidt: Okay. Thanks a lot guys.
Cheri Beranek: You're welcome.
Operator: [Operator Instructions] And our next question is from Tim Savageaux with Northland Capital Markets. Please proceed with your question.
Tim Savageaux: Hi, good afternoon, and congrats on the strong results. I have a couple of questions, but I'll start with backlog -- we actually saw obviously, a pretty sharp increase relative to last year, but somewhat of a decline sequentially. I'm wondering if you could discuss the puts and takes in terms of bookings and backlog in the quarter that led to that decline sequentially? Thanks.
Cheri Beranek: Yes, there is a very -- it's a very -- the decline sequentially is very standard, it's very seasonal. We don't typically -- a service provider is not all that excited about putting a purchase order over extending their fiscal year. So we tend to see December bookings go down as their budgets are not yet approved and that they're putting together their plans; so that -- I would always say we've offered backlog as a point of information, but it should be taken with a grain of salt, the backlog is not indicative of future demand.
Tim Savageaux: Well, I guess with that in mind, I mean would you expect or can you comment on what you're seeing thus far this quarter with regard to bookings relative to that? We're understanding that your smaller customers may not have the type of cumbersome budget cycles, you might see among the larger carriers. But…
Cheri Beranek: We're having a great January. So it is -- without giving any future guidance within because we can only do what we can see with the three to four week lead times, but bookings have been good. I do not have a concern in regard to lack of market demand, it's strong. There is a lot of projects and activities in place, community broadband is really excited about the available -- of the energy available for where they can put together. And then, I think we have --we've worked for years to have the community -- to have the reputation that we have in community broadband, and the support that we're providing. So I believe we're taking share in this marketplace and are positioned to grow with it as the COVID world tends to settle down.
Tim Savageaux: Got it. And then, if I could move over to your commentary on the RDOF process and the potential to accelerate growth from what looked to be already pretty strong levels. I wonder if you could be a little more granular on kind of expectations for timing there? You'd referenced kind of some degree of pull-forward in demand. Is it likely that we're like to see -- likely to see a normalization in that pull-forward, maybe in contrast to traditional seasonality in the business prior to seeing any type of acceleration from RDOF projects, maybe later in calendar '21?
Cheri Beranek: We -- the general frame of thought is that it's always difficult to know what government projects. But the general trend of thought is that we'll start to see the beginning of that revenue in July and August. So since our fiscal year ends in September, I don't see the RDOF program having a really significant increase for our numbers this year, it certainly will be one of the mechanisms to improve numbers moving forward. The -- to-date the growth that we're seeing; there has been some business that has been CARES Act funded and we certainly saw some business in that in the December quarter, but I think what we're seeing really is true organic need in the marketplace. The -- I mean, COVID absolutely created the requirement that broadband is necessary. And yes, there were those individuals over the course of the first 7-8 months of the pandemic that we're able to immediately put dollars into place, but most of them were really in a place where they're just being able to truly react now and build out their networks in a broader term basis. And one of the things that was really surprising to me and I'll send it to anyone on the call that hasn't seen it -- in the State of Minnesota the -- what traditionally we would view as being community broadband-centric. The Star Tribune, our metropolitan newspaper, published here is where high-speed broadband is available in our state; and what we saw was the 7 County Metro area, and the few of Clearfield customers across the country, across the states such as [indiscernible]. There is still a huge amount of need out there and I think we're going to see that over the course of the summer. I've listened to some of the same broadcast that you probably have been or some of the others in our market; and I think our timing is sometimes a little bit different for the space. There is a lot of work that has to be done in regard to construction to actually deliver the physical dig and physical infrastructure to each home in business. So we're optimistic about this year, as well as for the fiscal year 2022, when we can take advantage of government initiatives on top of this.
Tim Savageaux: Great, thanks very much.
Operator: At this time, this concludes the company's question-and-answer session. If your question was not taken you may contact Clearfield's Investor Relations team at clfd@gatewayir.com. I'd now like to turn the call back over to Mrs. Beranek for closing remarks.
Cheri Beranek: Thank you so very much. It's a difficult time now with the pandemic and the inability to receive vaccinations for those that we love. But I encourage you all to be patient and to keep yourselves safe. Thank you for joining us today. We look forward to updating you again on our progress soon.
Operator: Thank you for joining us today for Clearfield's fiscal first quarter 2021 earnings conference call. You may now disconnect.